Operator: Good day, ladies and gentlemen. Welcome to the SmartCentres REIT Q3 2025 Conference Call. I would like to introduce Mr. Peter Slan. Please go ahead.
Peter Slan: Thank you, operator, and good afternoon, everyone. Welcome to our third quarter 2025 results call. I'm Peter Slan, Chief Financial Officer; and I'm joined on today's call by Mitch Goldhar, SmartCentres Executive Chair and CEO; and by Rudy Gobin, our Executive Vice President, Portfolio Management and Investments. We will begin today's call with comments from Mitch. Rudy will then provide some operational highlights, and I will review our financial results. We will then be pleased to take your questions. Just before I turn the call over to Mitch, I would like to refer you specifically to the cautionary language about forward-looking information, which can be found at the front of our MD&A. This also applies to any comments by any of the speakers made today. Mitch, over to you.
Mitchell Goldhar: Thank you, Peter, and good afternoon, and welcome, everyone. Our comments on this Q3 call will be abbreviated so as to leave more time for your questions. For the third quarter, SmartCentres once again delivered across the board in rental lifts, NOI growth, FFO and a strengthening balance sheet. On the property level, we are driving performance across all sectors, retail, industrial, residential, storage and office, translating into higher occupancy, healthy same-property NOI increases, attractive lease expansion rates and continued tenant demand for new build locations. With this demand, we are able to focus on high-quality covenants from national retailers who focus on value for all Canadians in our preferred categories of general merchandise, grocery, pharmacy, apparel, home improvement, sports and rec, financial services and more, deepening our role as Canada's shopping center. As we have said previously, the foundations of this positioning were laid many years ago, that is to provide value and convenience to all Canadians. The third quarter performance reflects that belief that providing value and convenience is good business. While the business continues to grow organically and through new income-producing developments, we carefully manage our debt and debt-related metrics. In that regard, we have improved our financial flexibility with approximately $1.1 billion in liquidity, 88% of debt being at fixed rate and an unencumbered asset pool at $9.8 billion, which Peter will speak to in a moment. But before that, let me turn it over to Rudy for some more operational highlights. Rudy?
Rudy Gobin: Thanks, Mitch, and good afternoon, everyone. The third quarter was once again a standout in many areas and related operating metrics. Tenant demand for space remained strong, delivering high-quality income across all provinces maintaining a leading 98.6% occupancy at the quarter end. In addition, this added demand allows us to make some upgrades to both retailer quality and covenant strength. Same-property NOI continued its strong momentum with 4.6% growth in the quarter ex anchors and 5.9% year-to-date, equating to an overall all-in 3.7% for the year thus far. With 5.3 million square feet of space maturing in 2025, by quarter end, the REIT had already extended nearly 85% with rental spreads of 8.4% excluding anchors and 6.2% all in. Rent collections remained stable at 99% in the quarter. Costco at Winston Churchill and 401, as we mentioned before, along with Walmart in Oakville Center, both opened strong shortly after the quarter end. While overall retail and demand for space remains robust, we did, however, book a provision in the quarter for one tenant. Overall, the REIT continues to grow, strengthening its cash flow and stability while reducing risk. We expect this momentum to continue through to year-end. Thank you, and I will now turn it over to Peter.
Peter Slan: Thanks, Rudy. As you've seen in our press release, same-property NOI growth remains solid increasing 2.9 -- 2.6% for the quarter or 4.6% excluding anchor tenants, as Rudy mentioned, mainly due to lease-up and lease extension activities, partially offset by the impact of a credit provision primarily associated with one retail tenant. Excluding the credit provision, same-property NOI growth would have been about 50 basis points higher or 3.1%. The change in FFO this quarter was primarily due to NOI growth, town home closings and the fair value adjustment on our total return swap. FFO with adjustments increased 5.6% in the quarter compared to the prior year. During Q3, we closed on 13 townhomes in our Vaughan Northwest project. This has resulted in a cumulative margin of about 22% for the project to date. Subsequent to the quarter, we have also sold an additional 8 town homes, which are expected to close in Q4, bringing Phase 1 of the project to virtual completion with 119 of the 120 homes sold. We again maintained our distributions during the quarter at an annualized rate of $1.85 per unit. The payout ratio to AFFO continues to show improvement at 89.6% for the rolling 12-month period ending September 30, 2025. Adjusted debt to adjusted EBITDA was 9.6x in Q3, unchanged from last quarter, but an improvement from 9.8x for the same period last year, primarily due to continued growth in EBITDA. Subsequent to the quarter, we increased our liquidity through the issuance of $500 million of unsecured debentures in 2 tranches. The blended interest rate of the 2 tranches was 3.96%. The proceeds from this offering will be used to repay our Series X debenture upon its maturity in December 2025 as well as floating rate debt on our operating lines. We also closed on a CMHC financing for our Millway purpose-built rental project and a portfolio financing on 10 self-storage properties subsequent to the quarter end. The weighted average term to maturity of our debt, including debt on equity accounted investments is 2.9 years, or 3.4 years on a pro forma basis, accounting for those subsequent events that I just mentioned. As in previous quarters, we've updated our MD&A disclosure, focusing on those development projects that are currently under construction. As you can see on Page 18, there were 8 projects under construction at the end of Q3, up 1 from last quarter as a new self-storage facility is under construction in Victoria, British Columbia. And with that, we would be pleased to take your questions. So operator, can we have the first question on the line, please?
Operator: [Operator Instructions] The first question is from Sam Damiani from TD Securities.
Sam Damiani: Thank you. Good afternoon. Maybe just to start off, maybe perhaps Rudy for you is just the exposure to Toys"R"Us, I'm just wondering if you could comment on the remaining stores within the portfolio and how you view potentially having to backfill those locations and at different rents?
Mitchell Goldhar: Yes. I mean, Toys"R"Us, yes, we're all over it. Actually, it's turned into actually more of an opportunity, frankly. We have a lot of interest in the toys that we're getting back, stronger companies, more compatible actual users, bigger draws and higher rents. So it's actually turning into a, quite frankly, like that, that setback is turning into an advance. We're well along. So 2 are leased, and there's interest in the majority of the balance. So then, Rudy, do you want to add anything?
Rudy Gobin: Yes. The only thing I would add is when we replaced 2 of our locations, we mentioned, Sam, a couple of quarters ago, we were doing that. We started getting calls. And we have a really good interest from, as Mitch mentioned, stronger retailers, stronger covenants, the grocers, the TJXs the like. So we're not expecting that there would be any issues if and when we would have to execute on any of these. But it is looking better on an overall rental basis as well.
Sam Damiani: Okay. Great. And maybe, Mitch, for you, just in the MD&A, the retail development pipeline for the next 5 years, really, I guess, it did increase quite materially to 3 million square feet. And I know it's just kind of a plan. It's nothing that's kind of concrete and pre-leased and all that. But like what is the visibility, I guess, on the REIT constructing 3 million square feet over the next 5 years of purely retail space?
Mitchell Goldhar: Well, I guess, I think we've alluded to it in previous calls that we're sort of witnessing some increase in interest in our portfolio from the retail side of things. So it's starting to move further along and materialize. That's the reason for the increase there. You also put that -- combine that with the fact that the residential side of things has slowed down. So in some of the cases, the residential program was on what was going to be retail. And when the residential was more attractive than the retail, we were inclined to -- we are open to doing residential. But many of those properties are actually shopping centers and permit retail. And so some of it is plans that we had considered for residential. Now we have interest from retailers. So that's also part of the increase that you're seeing there.
Sam Damiani: And does the increase include one or more greenfield new shopping centers?
Mitchell Goldhar: That number does not actually -- so I'll say that we are anticipating some growth in our retail -- core retail business. That number is really on existing properties. But I'll say it now, and it's just, I guess, a little bit of guidance or whatever you want to call it that, that could go up and the greenfields development potential, I would say, it's something to look out for. We'll see still sort of earlier stages. But in terms of just indications, there might be -- yes, there might be something up the road that we'll be focusing -- we'll be announcing or putting -- shedding more light on in the coming quarters.
Sam Damiani: Interesting. And last one for me. Just the Costco and Walmart that just opened, did they contribute any FFO or cash rent in the third quarter?
Mitchell Goldhar: Yes, yes. And I'll also point out, I don't know if anyone out there lives near the Winston Churchill 401, you should go check it out. And that's an example of what we're talking about earlier about the toys being replaced by certain other retailers. I mean, that was an old Rona and it was a fantastic tenant. But Costco, of course, is bigger traffic generator. And if you go to the Winston Churchill 401 project and just imagine what that Costco is doing for that shopping center, you'd also be able to extend the trajectory of that on some of the other comments we were making about filling the toys and certain other things that are going on that we're alluding to. But yes, not quite in a position or ready to announce.
Operator: [Operator Instructions] This question is from Dean Wilkinson from CIBC World Markets.
Dean Wilkinson: Mitch, thank you for the truncated open comments. I think I can say for everybody. We appreciate that. Just following along Sam's question on the development and the development pipeline. I mean, you've got $2 billion of PUD, maybe another $0.5 billion of identified capital that you've got to put in there. How comfortable are you taking -- like how high are you comfortable taking that number up over 20% of the balance sheet? Or are you looking at some of those 3- to 5-year time horizons to have some developments burn off? Just trying to get a sense of how much you want to push the balance sheet on the development side of things given you've got more properties under development than some REITs have entire assets?
Mitchell Goldhar: Yes. I mean, obviously, Dean, we're just monitoring all of that. We're never going to jeopardize anything. There's great opportunities. It's big difference between residential and retail, especially high density. So with the retail, single-story stuff, mostly at-grade parking and the income kicks in usually between 9 and 12 months. So -- and there's some pretty good accretion there. So we just watch it and manage it in terms of timing and so on and so forth because the EBITDA kicks in pretty quick. And a lot of it, as we were saying, is on site. So there's no land costs, et cetera, et cetera. So it's quite sensitive to we can do that. It's quite sensitive in terms of the metrics that you're referring to. So we're just going to find a way to do it. within all the metrics and being conservative with inside those metrics, we just find a way to do it. But the guiding principle, the guiding -- yes, first principle is to stay well within all the important metrics. But not to give up the business. This is just a question of how we're going to get there properly. But we're pretty confident we can find a way to get there.
Dean Wilkinson: Shorter development cycle over a longer one sounds like it would be more preferential.
Mitchell Goldhar: Yes. Yes, exactly.
Operator: Right. There are no further questions in the queue.
Mitchell Goldhar: I guess we are all picking up on the theme. So thank you all for participating in our Q3 call. Please feel free to reach out to us at any time for any further questions. And until then, have a great day.
Operator: Ladies and gentlemen, this concludes the SmartCentres Retail Q3 2025 Conference Call. Thank you for your participation, and have a nice day.